Operator: Good afternoon. Thank you for standing by and welcome to the First Quarter 2022 Earnings Conference Call and Webcast for Laird Superfood, Inc. I would now turn the call over to Mr. Reed Anderson of ICR to begin. Please go ahead.
Reed Anderson: Thank you. Good afternoon and welcome to Laird Superfood's first quarter 2022 earnings conference call and webcast. On today's call are Jason Vieth, Chief Executive Officer; Valerie Ells, Chief Financial Officer; and Andy Judd, Chief Commercial Officer. By now, everyone should have access to the company's first quarter earnings press release filed today after market close. This is available on the Investor Relations section of Laird Superfood's website at www.lairdsuperfood.com. Before we begin, please note that all financial information presented on today's call is unaudited and during the course of this call, management may make forward-looking statements within the meaning of the federal securities laws. These statements are based on management's current expectations and beliefs and involve risks and uncertainties that could cause actual results to differ materially from those described in these forward-looking statements. Please refer to today's press release and other filings with the SEC for a detailed discussion of the risks that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. And now I'd like to turn the call over to Jason Vieth, Chief Executive Officer of Laird Superfood.
Jason Vieth: Thank you, Reed. Welcome everyone and thank you for joining us today. On the call with me today are Valerie Ells, our Chief Financial Officer, and Andy Judd, our recently appointed Chief Commercial Officer. My comments today will primarily focus on the strategic actions that we've taken to further strengthen the company's position as well as our upcoming steps and milestones to give you a roadmap for our continued progress. I'll then turn it over to Andy for additional commentary on products, marketing, and business development efforts. Val will close our prepared remarks with an overview of the Q1 financials and our outlook for the balance of 2022. We'll then take your questions. I'm pleased to report that our first quarter results were solid, with topline growth of 26% to $9.3 million. These results included solid gains in both online and wholesale channels. As expected gross margin is proving to be challenged in the first half of the year, as we work our way through known constraints in our operations structure and make the necessary adjustments that will set us up for future success. During Q1, we did make significant progress and right-sizing our cost structure, which helped to offset much of the impact on quarterly profitability and we will continue to make moves to identify and address supply chain efficiencies in our operation. From an organizational perspective, we've made some key hires over the past month that speak to the power of the Laird Superfood brand and its tremendous growth potential. As mentioned on our fourth quarter call, Daryl Moore joined us as the Senior Vice President of Sales in March with responsibility for all physical retail channels. Daryl was most recently COO and Head of Sales for Performance Kitchen, and has decades of experience in the natural food industry. Darryl has a proven track record of omni-channel excellence, having led sales at Bulletproof as it increased 5x to around $100 million in revenue. We also recently added Andy Judd as our Chief Commercial Officer. Andy will be responsible for Laird Superfoods' commercial strategy, overseeing marketing sales, product development, and customer experience to further leverage our platform to drive business growth and aggressively expand our market share across the online and wholesale channels. As with Daryl, Andy has extensive experience in consumer goods in the natural products industry, most recently as the Chief Marketing Officer of Yasso. Before that, and he served as CMO of ONE Brands, and VP of Marketing for the Boulder Brands business unit of Pinnacle Foods, and previously held various leadership positions at several other major companies, including WhiteWave, Saputo, and Campbell's. Andy will introduce himself to you in a few minutes. Last week, we completed a review of our new three-year strategic plan with our Board of Directors and our goals and strategies are aligned and clear. We will continue to build a true omni channel business that focuses on the daily ritual online. While leveraging our strength and functional creamers, coffee and hydration in broader retail outlets across the country. Our commercial team has a clear set of sales and marketing objectives and measures and is already executing against them with renewed vigor and excellence as Andy will share in a few moments. Moving forward, we will be laser-focused on improving our gross margin with a long-term focus on again exceeding 35%. We have already begun to streamline our manufacturing and distribution operations and we'll continue to do so behind investments that we've recently made in automation, software and more. In March, we eliminated free shipping on orders below $30, and did not see a meaningful impact to our volume. In addition, we have identified more than 10% of our portfolio for SKU reduction, and recently initiated work to assess and optimize our products across taste, health credentials, and cost. And finally, we will soon be announcing a list price increase across the bulk of our portfolio, which will address the cost inflation that we've incurred during the past two years. Last month, we took the difficult action of reducing our operations headcount cost by approximately 20% or $1 million per year on an annualized basis. While this is always a difficult decision, it was a necessary move given the progress that we've made in the last year to automate and improve our manufacturing processes and efficiency. Despite this move, I am pleased to report that we continue to service our business without any significant supply shortfalls. We also expect to free up cash across our balance sheet through targeted inventory reduction, and the sale of non-productive assets and believe that we can increase our cash balance by more than $5 million from such activities during 2022. As we go forward, we will continue to make moves that simplify our operation and allow us to focus on commercializing our portfolio of great tasting better for you products. As you can see, it's been a very busy couple of months for the team, and we are rapidly making progress against our stated goals of shoring up our sales, and improving our long-term profitability and cash position. Looking forward, we will remain focused on three key areas. First, our commercial team will continue to overhaul our approach to targeting and retaining customers on our own site and the Amazon platform, while we meet with retailers to expand our distribution across our core product lines. Second, we will continue to work tirelessly to overcome the cost challenges that are plaguing supply chains worldwide. And we'll take the necessary actions to maintain and expand our gross margin back to pre-pandemic levels. And finally, we will continue to build the company's capabilities in areas that are core to our ongoing success, including on our commercial and operation teams, but also across our entire G&A structure. In summary, the next phase of our Laird Superfood journey is well underway, and we're making significant progress to create a substantial and profitable company. And while the market and U.S. economy remain extremely challenging, I am optimistic about our trajectory. With a leading Net Promoter Score and a portfolio of great tasting better for you plant based products, we are right on trend and poised to capture additional market share and achieve our long-term vision to become one of the leading players in the natural food and beverage space. With that, I will hand it over to our Chief Commercial Officer, Andy Judd to discuss our first quarter and annual operations in a bit more detail. Andy?
Andy Judd: Thanks Jason. Hello everyone. I'm excited to be on board and look forward to meeting many of you very soon. There's great momentum for Laird Superfood, and we have the right combination of people, products and passion. I was attracted to this moment as it will combine my experiences and growing and building emerging high growth brands and a personal passion to eat more plant based foods that are better for you and the earth. Laird Superfood has two very powerful tools to find consumers at the intersection of functional food and flexible shopping. First, we have a powerful, active lifestyle brand with a great portfolio. This portfolio can expand significantly in coffee and creamers and has the ability to create new categories across multiple day parts from sunrise to sunset. And second, we look at the ever evolving landscape of how consumers shop across physical and digital platforms. Laird Superfood is well positioned with an infrastructure to capture shoppers and partner with retailers with the necessary flexibility to create a truly holistic omni channel approach. In the near-term, we are poised to continue our growth across our core platforms and coffee creamers and coffee. With the recent launch of our bright cups functional coffee pods, we are enabling consumers to enjoy single use coffee pods, but with a BPI certified pod that is commercially compostable. A brighter future, future for all indeed. We also have plans in the coming months to expand our reach and snacks with new launches later this summer of a line of Laird Superfood plant based protein bars. Each bar lives up to the clean ingredient and nutritional standards of Laird Superfood. With 10 grams of plant based protein made from a blend of pea hemp and pumpkin seeds. We are excited about increasing our snack portfolio by attacking a key category to satisfy and tastes. These bars tastes incredible and I can't wait for each of you to taste them. As Jason mentioned, we have a ton of great potential to unlock a more holistic growth agenda across both digital and retail platforms. For our digital platforms, we continue to see deep loyalty and affinity with growing LTV and a best in class retention program with nearly 400,000 consumers and our CRM and SMS databases actively engaged in our mission and brand. Despite continued year over year pressure on acquisition costs, in Q1, we did see slight sequential improvement and our CAC and are still experiencing solid growth our DTC platform with an acceleration of new consumers on Amazon. We have the opportunity to rollout even more reach and growth as we lock in the right balance of investment across platforms. For our wholesale business, I'm excited about how we can lead the charge to redefine the power of what plant based creamers and coffee should be. From simple non-dairy alternatives to helping consumers get more out of every cup. We have significant upside to expand our retail footprint from our less than 10% ACV and moolah to consistent with a level seen at plant based non-functional competitors. I have seen firsthand the potential with other plant based brands to achieve transformative growth, wen partnered with key retailers to create a destination for incremental needs states. We have the same opportunity for functional coffee and beverages that is largely untapped and traditional food. Now, let me turn the call over to Valerie Ells, our CFO to further discuss our first quarter results.
Valerie Ells: Thanks Andy. Net sales increased 26% to $9.3 million in the first quarter of 2022 compared to $7.4 million in the first quarter of 2021. We had strong growth across both primary channels with wholesale up 31% and online increasing 24% including 35% growth in DTC driven by the contribution of our acquired Tiki Bar portfolio, as well as continued improvement in average order values and retention rates. Results in wholesale reflected continued progress in groceries, both in our refrigerated liquid creamer business and our shelf stable product assortment, as well as a slight improvement in club sales. From a category standpoint, Tiki Bars which we acquired in May of last year, continue to be the primary factor driving strong growth in harvest snacks. Hydration and beverage enhancing supplements for up 18%, reflecting solid adoption of new products such as our Mushroom Botanicals, Renew, Rest, Recover and Activate Immune. And coffee creamers rose nearly 9% due to both liquid and powdered creamer growth. gross margins declined 390 basis points on a year over year basis to 20.9% of net sales in the first quarter of 2022 compared to 24.8% of net sales in the prior year period. The decline was due to a combination of factors, including compression related to elevated promotional activity, due to both our growing retail business and specific promotional events online combined with elevated inventory costs due in part to inbound freight rates, and other inflationary pressures. These factors were partially offset by ongoing progress around optimizing DTC shipping expense, as well as improvements in production and waste expenses related to our liquid creamer business.  Operating expenses, as reported totaled $15.9 million compared to $7.2 million in the year ago period, with the majority of the increase stemming from a one-time non-cash charge for goodwill intangible asset impairment of $8 million. Excluding these items, operating expenses were $7.9 million. General and administrative expenses as reported or $11.8 million, up $8.2 million from the prior year period, nearly all of which was driven by the non-cash, goodwill, and intangible asset impairment charge mentioned previously. Excluding the goodwill and intangible asset impairment charge, G&A expenses were $3.8 million, up approximately $160,000 from the year ago period, with elevated personnel costs relating to executive transitioned in elevated professional fees, partially offset by a benefit from the forfeiture of market-based stock units associated with an executive departure. Sales and marketing expense increased approximately $670,000 to $4 million due to growth in advertising and marketing fees compared to the sequential quarter, however, sales and marketing expenses were down approximately $690,000, reflecting an improvement as a percent of net sales from 50% in the fourth quarter to 43% in the current period. Net loss as reported was $14,1 million. On an adjusted basis, net loss was $6.7 million, up approximately $1.4 million from the year ago period. A detailed reconciliation of non-GAAP adjusted net loss is included in our earnings release. Our balance sheet remains healthy and we ended the quarter with over $27 million of cash and investments and no debt. Cash used in operating activities improved 30% to $3.6 million versus $5.1 million in the year ago period, primarily driven by inventory rationalization. Our inventory position remains strong, and we continue to strive for improving turns while balancing the level of our investment in support growth and mitigate supply chain disruptions. Now for 2022 outlook. At this point, we are maintaining our previously provided 2022 guidance, anticipating net sales of $41 million to $44 million, driven by wholesale growth, particularly in creamers and functional coffee products, as well as online gains across our portfolio. The strategies Jason and Andy referenced bode well for our future in retail, but will require time to ramp up, implying more visible progress of our wholesale growth in the second half of 2022 and building in early 2023. We continue to expect full year 2022 gross margins of 24% to 26%, driven by price optimization, operational efficiencies, and improvements in our refrigerated liquid creamer margin profile, offset by inflationary pressures. I'll turn the call back to Jason.
Jason Vieth: Thanks Val. We've clearly made a lot of progress over the past few months, and I'm more excited than I've ever been for where this brand can go. As we head into the heart of the retailer review schedule, I am optimistic that we will be able to gain significant distribution expansion in 2023. I'm confident that the revamp that Andy is leaving across our branding, packaging and insights will pay dividends in identifying targeting and attracting consumers to our brand across both the wholesale and online channels. And we will continue to relentlessly attack our costs and optimize our products in order to expand our gross margin. Though we are in both a challenging macro environment and a transformative moment for the Laird Superfood business, our results in the first quarter demonstrate the strength of our brand proposition and our product portfolio. Moving forward, we will continue to build off of these assets to deliver the healthiest and best tasting plant based foods to our consumers. This concludes our prepared remarks. Operator, we are now ready to open the call to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from a line of Bobby Burleson with Canaccord. Please go ahead.
Bobby Burleson: Great. Thanks for taking my question. So, congrats on the solid quarter and reiterating guidance. A couple of things just -- there's obviously a lot of stuff impacting the consumer these days and we're hearing a lot about price sensitivity in grocery and elsewhere. But it sounds like from what you've managed to do with the elimination of free shipping for $30 and under that you're not seeing a lot of pushback. And just curious, like, what you think about your particular customer cohort when it comes to this price sensitivity that we're hearing out there?
Jason Vieth: Hey, Bobby, this is Jason. Thanks for that question. That's something that is a topic of conversation, a topic of conversation for us as well, over the last couple of weeks, as you'd imagine. So, we went through a great deal of deliberation with regards to free shipping and as it turns out, it ended up being pretty much a non-event, I think what's happened is the consumers become so accustomed to prices rising in general. And so many other online ordering platforms have moved away from free shipping, that I don't believe that the consumers is sensitized to it as they would have been in the past. And I'll take that and run with it a little bit more broadly as well and I do want to hand it over to Andy Judd to introduce himself and also share some thoughts on that question. We're operating in a market with premium products, and you always have that concern as prices continue to rise and consumers become more aware of their shopping builds that you're going to be hit. I recall going through something very similar just over a decade ago, the last time that there was inflation like this and we were pricing the silk business, and we're concerned around, taking that first price increase. We ended up taking a few of them. And we did sequentially in a short period of time, what we found is that, while some consumers that are in to your franchise at the lower end, and maybe willing to trade value do that. You're also attracting a number of other consumers that are leaving coffee houses as an example, where restaurants in general, and as they come back into their homes, and our consuming foods, they're looking for products that are as premium as what they're leaving behind. And we feel like our portfolio, and they're just really well positioned to sustain that trend. That's a trend that I mentioned, it's soak, did really well with Verizon, organic did and really, frankly, most premium products during that time, and you saw organic and natural foods continue to grow remarkably well, despite the inflation and the recession that hit the economy. So I feel like we're in a similar position now. But Andy has spent the last, the last six weeks or so that he's been here really getting in to understand our consumer and start really driving insights. So let me turn it over to him. So you can share a little bit more about that.
Andy Judd: Hi, Bobby. Thank you for the question. I think in addition to the comments that Jason brought--
Bobby Burleson: Hi, Andy.
Andy Judd: Hi, Bobby. We've seen a really deep fall hit the loyalty pieces as well, a really deep loyalty in this consumer group in this cohort, they understand the functional benefits of our products, a lot of them are in a subscription based program as well. And a lot of those AODs were above the threshold. So this is also not just about understanding that we have really loyal consumers, but also making sure that we're getting more savvy on our order mix and pricing up on some of our smaller orders to make sure that we're driving profitability across the whole platform as well.
Bobby Burleson: Great. And so just a quick follow up, so it sounds like maybe that's given you a little confidence on that list price increases coming. But just -- wondering on the -- elimination of free shipping $30 and below, kind of what percentage of your DTC or online that is, how big of a slice of your activity is that represent?
Jason Vieth: Yes, Bobby, I'll let Val jump in. If she happens to know that percentage off the top of her head, it's a relatively small percentage, quite frankly. And as Andy alluded to, it's our least profitable consumer as well. So we what we saw is that trade up and therefore an increase in our average order volume as we did that. And so through Q1, the metrics are going the right way for us. And we are able to -- we have been able to trade up a good majority of those consumers thus far. But in terms of the actual percentage, I can get back to you with that. I don't have that handy right now.
Bobby Burleson: Okay. Great. Thanks. I'll jump back into the queue.
Jason Vieth: Thanks, Bobby.
Operator: Thank you, Mr. Burleson. The next question is from one of Alex Fuhrman with Craig-Hallum Capital. Please go ahead.
Alex Fuhrman: Hey, guys, thanks for taking my question. I wanted to ask, Jason, I think you mentioned in your prepared remarks, launching protein bars in the near future. Curious if we can get a little bit more color on the timeline of that launch and how impactful you think it can be? And I imagine this is something that most of your loyal core customers are already consuming from competing brands. I mean, do you have a sense of, what protein bars your customers are currently eating? And how many of those customers do you think you'll be able to at trial your products?
Andy Judd: Thanks to Alex. This is Andy I'll jump in on that one in particular, we're really excited about alters for foods, plant-based protein bars. I think there's a couple of components here. One, it does present a really nice incremental space that extends that afternoon day part for us in a stacking occasion, that is differentiated from our portfolio, but really rounds out the complimentary snacking products that this consumer is looking for. With that leads up to the Queen and nutritional standards that layer provides against our broader portfolio. It also gives us a chance to leverage some of the cable abilities that we've been able to build in concert in collaboration with our Picky Bars acquisition, and look at how we can drive incrementality across both the Picky business and the Laird Superfood business. And when we looked at the opportunity to drive this particular nutritional bundle, that is higher proteins and the Picky Bars lower net carbs as well, it really stood out that there's a great opportunity there. Obviously, the multi-billion dollar category and as consumers continue to shift their behaviors and eating towards snacking, it was a -- it’s a really nice opportunity for us, and that will launch here later this summer.
Alex Fuhrman: That's really. Really -- yes.
Jason Vieth: Hey, Alex. Let me add just one other thing on that. Because I think as Andy was kind of alluding to we, this is a product, we, for a while considered putting under -- putting the Picky Bars under the Laird brand and incorporating those. We've moved strategically to let those live alone. And so we're going to have this product come out as Laird's first entry into the bar business, we think that it is. And then it’s got a very differentiated proposition with its protein, makeup plus ingredient, makeup plus the adaptogenic ingredients. And then we are at the same time as a result of that, though, going forward with the Pinky expansion on those bars too. And that's a really big strategic shift for us, that gives us the ability as we're going into selling the Laird bars, to sell the Picky Bars and sell them as a complete package of very differentiated brands and products for the Picky Bar being more of that immediate energy source available for on-the-go and athletic consumption, whereas Laird’s protein bar that is not bringing those ready carbs in the same way. And so we're really excited about what those two can do together for us.
Alex Fuhrman: That's terrific. Sounds like a great opportunity. Thank you.
Jason Vieth: Yes, thanks, Alex.
Operator: Thank you. Our next question comes from the line of George Kelly with ROTH Capital Partners. Please go ahead.
George Kelly : Hey, everybody. Thanks for taking my questions. So just a couple for you. I'll start with the cost reductions. I think, Jason, you mentioned that there were some reductions that you guys already implemented on the OpEx side, wondering if you could just talk through what were those? And are there still areas that you think there's real opportunity, both with respect OpEx and with COGS for continued cost savings?
Jason Vieth: Yes. Hey, there, George. We -- hey, great question. And I'm glad to get a chance to show a bit more of the details on this. As I mentioned, we did go through a headcount reduction. And as painful as that always is, the reality is, it was necessary, because of a combination of the automation and the process improvements that the team had made over the course of the last 12 plus months, we have a team that's really executing very well and frankly is able to meet our demand even today, as we scale up additional revenue in the back half of the year with the team that's in place. So we're really excited about what we've done on the factory floor. So that was one move that we made. As I mentioned, we did bring down or we did change the free shipping policy. So we implemented a $30 threshold on that. And that allowed us then to reduce some of the shipping costs that we had and pick up some shipping income on some of those smaller orders. As we go forward, there's still a number of areas, and we're working on all of them simultaneously. One is on the product formulation. We're in a position now with a number of ingredients that either were included without really realizing that product benefit or sharing the product benefit with consumers. And as a result, consumers are purchasing the product without recognizing the benefit that's being received. And therefore we have ingredients that become superfluous to the proposition. Those are expensive. So we have some product reformulation work that's already teed up or kicked off, I should say. And then we have a number of initiatives so that we'll be working on in the back half of the year. We do have opportunities in external fees as well. I think about the off-premise warehousing that we have today. We have a significant number of pallet positions that are being held for us off-site that handle a lot of space internally still. And we're looking now at how we optimize that and consolidate that. And we have some software and other expenses that will be reducing as well. And then on the G&A front, we still have a number of non-headcount related costs that we're going to be ripping through, we've put targets out for each one of our departments, and they're executing against that. But as you would imagine, with this being the first time, we've really executed against something like that, we're really as we're digging through that so we're finding a lot of quarters, and we're really bringing them in. So those are the three primary areas. As we go forward, I mentioned, we'll continue to structure the organization appropriately as well. And in the G&A space, we've made moves already, as you guys have seen across the executive team and a number of other areas. And as we go forward, we'll continue to consolidate as appropriate to bigger jobs and be able to put people in great positions to lead bigger team. So there's a lot underway still at this point. But primarily, it's going to be around that product formulation and getting rid of some of those external fees.
George Kelly : Okay. That's super helpful. And then second question for me on your full year guidance. If I just play that through it, I'm going to a sequential improvement kind of in revenue throughout the year. So I have revenue stepping up just to hit your number. What gives you confidence that you can execute on that? Is it -- what I'm hearing is that new products and sort of a renewed focus on wholesale? And is there anything sort of within that that gives you visibility on hitting those numbers?
Jason Vieth: Yes. George. This is a great question as well. I'll turn this over to Andy show that to on his commercial strategy. We had a similar -- with similar perspective as we built the year, and as we got to the second half of the year, our expectation is, at that point, we're getting some of the wholesale wins to start to come in, most of those are going to hit in 2023. But we are going out through some, quite a few, in fact, accounts that are off cycle, able to cut in products. And so you think about some of those non-traditional retailers in this space where our products that fit really well. There are companies like REI or Bed Bath & Beyond, et cetera, that are carrying creamer and coffee in bar products. We'll certainly be spending time with them and trying to get that product listed prior to next year and perhaps have an expectation that we'll make some success there. We also have a number of initiatives across retailers that that we're working with today for expansion. We had a recent win in on Costco that I'll let Andy speak to in a moment. And there are a couple of other retailers that will be working to do the same. And then on the DTC side. There -- we have significant opportunity. Last year in Q4, we reported that we had some challenges in executing due to our staffing and resource issues, where we have a number of folks that are positions that have gone vacant. And so we feel like there's an opportunity there to recapture what was missed. We know that we can do more with Amazon. We've already started to press forward with that. And so that's -- I would tell you that multi-pronged approach across Amazon, DTC and wholesale is really where we're putting our efforts. And we feel like we can get additional listings and drive additional consumers to the platform.
Andy Judd : Yes, George and that's the -- only add I'll put on top of that beyond the channel is on the product side. So we do have a number of new item launches. As I mentioned in the prepared remarks relative to our Bright Cups, coffee pods that were just launched here at the end of April, our protein bars coming up this summer. And we've got some other creamer and beverage products coming out towards the end of the year. So I think the cooler effect with the channel mix that Jason went through, as well as the continued expansion into incremental spaces for our portfolio on product size does give us good confidence.
George Kelly : Okay. That's great. Thank you so much.
Jason Vieth: Thanks, George.
Operator: Thank you. There are no additional questions waiting at this time. I would like to pass it back to Jason Vieth for any closing remarks.
Jason Vieth: Sorry, guys. I’m trying to get off with you there. So, yes, just I'll thank all of you again for listening in today. As always, we appreciate you supporting our team and our business as we push through this transformation. Q1 was a solid start to 2022 for Laird Superfood and are proud and excited for the position that we're in. But at the same time, we recognize that the market and the economy are likely to remain challenging for the foreseeable future. So I'm confident our team and our brands and believe that we're poised to continue to grow and improve our business from here. So from our entire LSF team to you and your families, we would wish you all a hearty mahalo and look forward talking with you soon.
Operator: That concludes the Laird Superfood’s first quarter 2022 earnings conference call. I hope you all enjoy the rest of your day. You may now disconnect your lines.